Operator: Good afternoon, and welcome to the third quarter 2012 earnings call. Today's conference is being recorded. At this time, I would like to turn the presentation over to Mr. David Atchley.
David Atchley: Thank you, operator, and good afternoon, everyone. Thank you for joining us on VeriSign's Third Quarter 2012 Earnings Conference Call. I'm David Atchley, Director of Investor Relations and Corporate Treasurer. I'm here today with Jim Bidzos, Executive Chairman, President and CEO; George Kilguss, Senior Vice President and CFO; and Pat Kane, Senior Vice President and General Manager of Naming Services. Please note that this call and accompanying slide presentation are being webcast from the Investor Relations section of our corporate website, www.verisigninc.com. Please refer to that website for important information, including the third quarter 2012 earnings press release. A replay of this call will be available on the website within a few hours. Today's slide presentation will also be available for download after the call. Financial results in today's press release are unaudited, and the matters we will be discussing today include forward-looking statements, and as such, are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent report on Forms 10-K and 10-Q and any applicable amendments, which identify important risk factors that could cause actual results to differ materially from those contained in the forward-looking statements. I would like to remind you that in light of Regulation FD, VeriSign retains its long-standing policy to not comment on financial performance or guidance during the quarter, unless it is done through a public disclosure. The financial results in today's press release and the matters we will be discussing today include GAAP and non-GAAP measures used by VeriSign. GAAP to non-GAAP reconciliation information is appended to our press release and slide presentation as applicable, each of which can be found on the Investor Relations section of our website. In a moment, Jim and George will provide some prepared remarks, and afterward, we will open up the call for your questions. Unauthorized recording of this conference call is not permitted. With that, I would like to turn the call over to Jim.
D. James Bidzos: Thanks, David, and good afternoon, everyone. Thanks for joining us on the call today. As you will have seen from the press release, we have some important news about the status of the renewal of the .com agreement. I'll begin with the news on the .com renewal and then George and I will cover the key highlights for the quarter, and then we'll turn to your questions. By terms in an agreement between the Department of Commerce and VeriSign called the Cooperative Agreement, we submitted our agreement with ICANN, to service the authoritative registry operator for the .com registry to the Commerce Department for its review on June 26, 2012. As a result of communications beginning in October 2012 with the Commerce Department, we learned that the Commerce Department was conducting a review of pricing with the Department of Justice. We believe this review, which we are participating in, may continue beyond November 30, 2012, in which case a 6-month extension of the .com registry agreement would become effective. We want to emphasize that nothing has happened that changes the risk of our running .com. We expect to continue to be the registry operator of .com. Our record on security and stability has been acknowledged by the Commerce Department. We are involved in discussions with the Commerce and Justice Departments as they review the pricing terms in the .com renewal agreement. These discussions are ongoing and could extend beyond November 30. We will work diligently with them through the review process. Because of our discussions on this matter are ongoing, I'm not going to go into more detail. We will, however, update you when appropriate regarding new information. I'll now review the key highlights of the third quarter. The third quarter was another solid quarter for VeriSign and we continue to see benefits from our restructuring focus and discipline. In Naming, we processed 7.8 million new registrations in the third quarter while adding 1.37 million .net names, finishing the quarter with 119.9 million names in the domain name base. Our balance sheet remains strong, with $1.5 billion in cash and marketable securities. During the third quarter, we continued our share repurchase program by repurchasing 1.7 million shares for $77 million. Through the first 3 quarters of 2012, we have repurchased approximately 5.4 million shares for $221 million and we have approximately $610 million remaining in our share repurchase program which has no expiration. We continually evaluate the overall cash and investing needs of the business and consider the best uses for our cash, including potential share repurchases. In our Naming business, the base of registered names in .com equaled 105 million names, while .net equaled 14.9 million names. The total base of registered names in .com and .net was 119.9 million at the end of September. This represents an increase of 7.1% year-over-year and 1% quarter-over-quarter. In the third quarter, we added 1.37 million .net names to the domain name base and we processed 7.8 million new registrations, down 1% compared with the same period a year ago. In the second quarter of 2012, the overall renewal rate was 72.9%. While renewal rates are not fully measurable until 45 days after the end of the quarter, we believe that the renewal rate for the third quarter of 2012 will be approximately 72.3%. This rate compares to 73.3% achieved in the third quarter of 2011. Net number of names added to the domain base during the third quarter were below our guidance, primarily driven by 2 factors. First, the continuing effects of changes in search algorithms we discussed during last quarter. Search engine adjustments made over the past several months continue to affect the economics which drive domain monetization. As noted in our last earnings call, we have seen these search engine changes in the past, which have impacted our first time renewing names and our overall renewal rates. Historically, the domain monetization community has adjusted to such changes over several quarters. We have no way of knowing how long they'll be impacted by the changes being made in the current environment, but we are now experiencing the second quarter of these effects. Secondly, we are seeing some signs suggesting that macroeconomic headwinds, particularly in Europe, are also leading to softer international renewal rates. Given these 2 factors, we expect the fourth quarter .net names added to the base to be between 0.9 million and 1.3 million names. As discussed on the last call, we post updates to the zone on our website at least once per day. With this increased transparency, you'll be able to track how the zone is growing throughout the fourth quarter. Our NIA business continues to exhibit good year-over-year revenue growth. We continue to focus our efforts to scale the NIA business to achieve quality of revenue and stable growth while better aligning expenses with revenue. Now I'd like to turn the call over to our CFO, George Kilguss.
George E. Kilguss: Thanks, Jim, and good afternoon, everyone. For the 3 months ended September 30, 2012, the company generated revenue of $224 million, up 13% from a year ago and up 4% sequentially. During the quarter, the company delivered GAAP operating income of $116 million, up 30% from $89 million in the third quarter of 2011. GAAP operating margin in the quarter also improved to 51.9% compared to 45.2% in the comparable quarter a year ago, which was as a result of both top line growth and stable costs during the quarter. GAAP net income totaled $78 million compared to $59 million a year earlier, which produced diluted earnings per share of $0.47 in the quarter on a GAAP basis. As Jim mentioned, our balance sheet remains strong. As of September 30, 2012, the company maintained total assets of approximately $2 billion, of which $1.5 billion was in cash and marketable securities. Of the $1.5 billion, approximately $250 million was domestic with the remainder held overseas. Total liabilities remained at approximately $2 billion as of the third quarter, up from $1.9 billion at year end. As you may have noticed, during the latter part of the third quarter, the stock price exceeded the convertible debenture conversion trigger of $44.68, which means holders of the convertible debentures have the option of converting them into common stock during the fourth quarter. Therefore, in accordance with GAAP, the debt component of the convertible debentures, the related embedded derivatives and the deferred tax liability were reclassified from long-term liabilities to current liabilities, while the associated unamortized debt issuance costs were reclassified from long-term assets to current assets as of September 30, 2012. Total debt on the balance sheet was $703 million at quarter end, consisting of $100 million of outstandings drawn under the $200 million credit facility and the $603 million present value of the $1.2 billion in convertible debentures. The convertible debentures continue to be accreted onto our balance sheet up to its $1.25 billion par value over its 25-year remaining term. I'll now review some of our key third quarter operating metrics, which are revenue, deferred revenue, non-GAAP operating margin, non-GAAP earnings per share, operating cash flow and free cash flow. I will then discuss our 2012 full year guidance. As mentioned, revenue totaled $224 million for the third quarter, up 13% year-over-year. Approximately 60% of our revenue was derived from customers in the U.S. and 40% was from foreign customers. Revenue from international sources grew 14.7% in the third quarter compared to the same quarter a year ago and slightly faster than our domestic source revenue, which grew 12.7% for the same comparative period. Deferred revenue ended the quarter at $809 million, an $80 million increase from year end. Third quarter non-GAAP operating expense, which excludes $10 million of stock-based compensation, totaled $98 million and was down 1% sequentially. G&A operating expenses increased in the quarter, primarily driven by an increase in legal and related expenses of $3.9 million due to efforts supporting the Department of Commerce review of our renewal of .com Registry Agreement with ICANN and the legal advice related to ICANN's new gTLD program. These increased expenses were expected as part of the .com renewal process and the new gTLD program, and were offset by lower sales and marketing expense in the quarter. Non-GAAP operating margin for the third quarter continued to expand and totaled 56.4% compared to 54% in the second quarter of 2012. Our third quarter operating margin improvement was driven by revenue growth and our ability to obtain operational efficiencies to help offset rising cost, which allowed us to keep total expenses in line with the previous quarter. We will continue to look for further efficiencies in our business model and other ways to benefit our operating margin. Non-GAAP net income for the third quarter was $84 million, resulting in non-GAAP diluted earnings per share of $0.50 compared to $0.39 in the third quarter of 2011 and $0.45 last quarter. With respect to taxes, as stated on our last earnings call, starting from the third quarter, we are using a non-GAAP tax rate of 28% for our non-GAAP net income and non-GAAP earnings per share calculations. We continue to use the 30% non-GAAP tax rate for prior periods presented. In 2012, we expect to pay cash taxes of about $35 million to $45 million. We had a weighted average diluted share count of 166.6 million shares in the third quarter compared to 164.2 million shares in the second quarter of this year. Dilution related to the convertible debentures was approximately 9.2 million shares based on the average share price during the quarter, an increase of 3.6 million shares from the second quarter. This increase was partially offset by the full impact of Q2 share repurchase activity and the weighted impact of the 1.7 million shares repurchased during the quarter. Operating cash flow was $122 million for the third quarter, down from $135 million in the second quarter of this year and up compared to $108 million for the same quarter last year. Free cash flow was $117 million for the third quarter of 2012, including $9 million in excess tax benefits from stock-based compensation and excluding $14 million in capital expenditures in the quarter. With respect to guidance, we now think revenues for 2012 should be in the range of $870 million to $875 million, representing an annual growth rate of about 13%. We gave a range of $870 million to $880 million on the last call. Non-GAAP gross margin is still expected to be at least 80%. Q4 2012 exit non-GAAP operating margin is still expected to be at least 55%. Non-GAAP interest expense and non-GAAP nonoperating income net is still expected to be an expense of approximately $39 million for 2012, and capital expenditures for the year are now expected to be slightly lower and fall between 6% to 7% of revenue. We gave a range of 6% to 8% on our last call. Our guidance is based on expectations about the outlook of our business and increased operating efficiencies in addition to our financial projections for interest income and expense. In summary, we continue to demonstrate sound financial performance in the third quarter. We have grown non-GAAP operating income and net income, we have maintained a strong balance sheet and expect strong operating cash flow generation to continue as a result of our financial model. Now, I'll turn the call back to Jim for his closing remarks.
D. James Bidzos: Thank you, George. Before opening the call to your questions, I would like to give you a progress update on our execution against the strategic framework we shared with you during our last call. Our strategic framework is how we're thinking about the business across 4 areas of focus that we believe will drive value creation. These 4 areas are to protect, grow, innovate and manage the business effectively. First, we protect the business by providing unparalleled registry services and network performance while acting as responsible stewards for the infrastructure which we operate. As discussed earlier, we will continue to work with the Department of Commerce towards the renewal of our .com agreement. Second, with respect to growth, as you may have noticed, ICANN has given updates to its timeline and process for their new gTLD program. As you may recall, 12 of our 14 applications were for IDN versions of .com and .net. Third, as evidenced by our continued filing of patent applications, we are focused on innovation and value creation through new services that we can build around the Domain Name System. And fourth, we believe in managing the business responsibly from a financial perspective. We believe that continuing to deliver on these 4 areas, with the right balance, should provide unparalleled performance for our customers, businesses and consumers that rely on our critical infrastructure as well as creating value for our shareholders. We'll now take your questions. Operator, we're ready for the first question.
Operator: [Operator Instructions] We'll go first to Walter Pritchard with Citi.
Walter H. Pritchard - Citigroup Inc, Research Division: Appreciating there may not be a lot you could say, just wondering is there anything else you could give us in terms of this process going forward here with DOC and DOJ and particularly, what type of information have they asked you for at this point?
D. James Bidzos: Yes, Walter, this is Jim. We're in that process so it would really be inappropriate to say anything about the process itself. But let me just reiterate that the status of our ability to operate .com is not an issue here. The performance, in terms of security and stability, is not an issue. As you recall, in the Cooperative Agreement, the Commerce Department gives its consent to what we negotiated with ICANN and it approves that agreement based on the public interest, which is defined as security and stability and registry services on reasonable prices, terms and conditions. It consults with other agencies, as necessary, in its review. That's the process we're in. We're engaged with them. There is a possibility that it will not be complete by November 30, as we said in our press release and as we've reiterated here. And I wish I could tell you more but I think that's probably the appropriate amount of information given that we're in the process. As soon as we can, we'll share more information with you.
Walter H. Pritchard - Citigroup Inc, Research Division: And then just, George, did you give us a number of names up for renewal or if not, could you give us that number?
George E. Kilguss: Sure, I'd be happy to, Walter. The number of names up for renewal in the fourth quarter is 24 million names.
Operator: Our next question comes from Sterling Auty with JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: I'm curious if the DOT gave an indication. Are they reviewing the level of current pricing or the price increases as indicated in the new contract that's proposed?
D. James Bidzos: This is Jim again. Well, they have a review process, they have the right to review and that's what they're doing. We're in that process. I think to provide any level of detail, it's inappropriate. The process isn't complete. I can only tell you that we're participating in it. We'd like it to be done by November 30, but it is possible that it will extend beyond that. And until we're ready to tell you more, I think that's probably all the information we can give you at this point.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: And one follow-up on the actual business. The number of new names processed was actually down, you mentioned the macroeconomic. Is there any particular countries in Europe or can you also talk through any programs that you may have done in the quarter or plan to do to try to invigorate the new name adoption?
George E. Kilguss: Sterling, this is George. In the quarter, we absolutely saw that -- well, obviously, .net names are a function of both gross additions, less the deleting names and we took a look at the additions in the quarter, they total about $7.8 million as compared to about 7.9 million names in the last year. So it was down about 1% in that comparative period and when you look at the names deleting out of the zone, we saw those deletions be about 6.4 million this quarter versus about 5.9 million a year ago. So we absolutely have seen an increase in deletions. And when we look at those deletions, we're seeing an increase in them in the international markets. And so our renewal rates, internationally, have come down a little bit. We are still doing more analysis on it, we don't have it by country, but it just seems to be related to the European economy in general is where we're seeing the deletes increase year-over-year.
Operator: Our next question comes from Phil Winslow with Credit Suisse.
Unknown Analyst: This is Harris Higher [ph] on behalf of Phil Winslow. We were hoping you could comment a little bit on international domain names and expectations going forward into 2013?
Patrick S. Kane: This is Pat, Harris. We take a look at the growth opportunities for international domain names, as George said previously, we do see a little bit of drawdown in the European markets. However, we do continue to see growth in India and China and other Asia-Pac countries. And so I think that when you take a look at what our 2013 focus will be in terms of growth opportunities, it really will be China and India. So I think there's good growth coming from those areas.
Operator: And our next question comes from Steve Ashley with Robert W. Baird.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: So back to the Department of Commerce. Has the Department of Justice ever been involved with reviewing a contract before in the past?
D. James Bidzos: Yes, this is Jim. They were involved back in 2006 when the Cooperative Agreement was put together and the associated amendment. The Commerce Department is the party with which VeriSign has entered into the Cooperative Agreement, and the Commerce Department has the responsibility for review and the obligations to VeriSign to act in the public interest against the 2 standards in the agreement, security and stability and registry services. It consults with other government agencies. The Justice Department was involved back in 2006, so this is not the first time that they've been involved.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: And would you care to handicap the probability of the pricing terms changing possibly before the agreement is adopted?
D. James Bidzos: I think given the process and where it is right now, I think it would be -- well, under most circumstances, it would be inappropriate for me to do that as much as I may want to. But no, I can't do that. At this point I think given the process which is really the Commerce Department's process, although we are involved in it, that would be inappropriate for me to comment on.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: And just lastly, you've mentioned the fact that Google had tweaked the search engine. Last quarter, you called that out for us. I'm just trying to understand exactly, maybe get more color on what that means. Does that simply mean that certain sites on Google search simply are not ranked high enough? And the reason I ask that is it seems that a lot of these domainer sites really are not got to through Google, they mostly are got to through native search. So trying to understand a little bit more color on what's happening and the impact on those sites.
Patrick S. Kane: This is Pat. So basically, what happens with -- what they're trying to attempt to do is to push those search results down further in the rankings. And so therefore, Google is trying to push that down to increase -- or any algorithm search engine is trying to increase their own revenue. So basically, these domains end up being further down in the search results and those are clicked on less. I mean that's it's -- basically, that's the basics.
Operator: Our next question comes from Gray Powell with Wells Fargo.
Gray Powell - Wells Fargo Securities, LLC, Research Division: So I hate to belabor the issue but just sticking with the DOC, maybe could you just state your case for why you think the pricing for the .com contract should remain unchanged? And then, what do you say to proponents that would potentially argue that you are over earning on the contracts?
D. James Bidzos: Let's see, this is Jim. I think the first question goes to process and it's probably inappropriate for me to comment on. Your second question about -- is your question about our earnings?
Gray Powell - Wells Fargo Securities, LLC, Research Division: No. If someone looks at your operating margins and says you guys have like a 55% operating margin and a very good business and you're potentially earning too much on the .com contract, what do you say to them to counter that argument?
D. James Bidzos: I think most of what I would say probably falls under the process that we're currently in. But I would say to you that as we say, as we mentioned earlier during the call, as I talked about and as George talked about, it is, to a large extent, the efficiencies that we see in the business, I think, are due to the fact that we've been running the business more efficiently. Recall of course, that we've just completed a major 5-year restructuring going from over 5,000 employees to about 1,000, shedding numerous non-core businesses, having cash that is a result of proceeds from the sale of non-core businesses, a long-term 5-year divestiture program, and our focus on managing the business efficiently and on operating discipline and on being very focused. So I would say that I think we've done a very good job over the last 5 years of optimizing the business, running it very efficiently, understanding where we are. 2011 was the first year that we really operated on a full year basis as sort of the new VeriSign, focused on one particular business, that being the Registry Services business. Prior to that, we were always something else. It wasn't until past the midpoint of 2010 that we actually completed the sale of the Authentication business. So we've just come off in 2011 and now in 2012, the first year and second year of actually being a focused registry business and it takes some time to adjust to that and as we've adjusted, we've discovered efficiencies because we focus on it. We operate the business efficiently, we target efficient operation. Generally, the result of that is improving margins. So I would say that, that's a very important part of VeriSign's margin story and its efficient business.
Operator: [Operator Instructions] We'll go next to Gregg Moskowitz with Cowen.
Gregg Moskowitz - Cowen and Company, LLC, Research Division: I'll move past the DOC questions. I know you're obviously restricted, Jim, in terms of what you can say from here, but I do want to follow up on an earlier question. There's been a lot of talk around lower renewal rates due to the search algo changes and then also, macro issues related to Europe, but the fact that new name registrations did fall slightly year-over-year, wondering if you had any more insight into that. Is that something that was restricted to Europe or did you see any of that in the U.S. or some other regions as well?
D. James Bidzos: This is Jim. Let me make a couple of comments to address that question, then I'll let George and Pat comment as appropriate here. First of all, you'll recall that back in 2009, that was really the first time that we saw a major change in search algorithms that targeted the monetization players who were essentially trying to exploit the search engine algorithm to get themselves placed higher in results so that they could drive traffic and monetize it themselves. We saw that over a period of time, after those changes, there was some recovery and the monetization community adapted to it. We saw in 2012, changes which affected Q2, which we've discussed with you before. I think there is a more serious effort by the search engine algorithm players here to sort of clean up search results and improve the quality, as Pat said, to drive some of the monetization community down further. So we discussed in the last call, the Panda and Penguin programs, for example, that Google utilized where they were targeting content farms, they were targeting keyword stuffers and now they're also targeting exact name matches, which typically are monetization names often. So for example, if you search for purple blue widgets, and purplebluewidgets.com happens to be a registered domain, that in the past, would've been likely to score very high in the search results. However, if the search engine algorithm is tweaked to go out and consider other factors, the age of the domain, how many pages are on it, how fresh is some of the content and give it a score, essentially, on how likely it is that it's truly quality content that the searcher might be interested in versus something that had been set up for monetization purposes, I think the search engine algorithms are essentially targeting that kind of traffic to get it out. You'll also recall that back in 2009, we said that roughly 9% of the zone, as far as we could tell, were so-called advertising names. We're not at a point right now to tell you exactly what that number is today. But I think there might be some developments where other domains have sort of -- other TLDs have targeted in a sense, this monetization community and possibly, some of those names may have been drawn away over the years and moved to other areas, which is, in a sense, a good thing because it means that these changes, while they are making a difference and I know you see that every day, we do too, of course, and while it may take longer to recover depending on how intense and how sustained these campaigns are, the fact is that there may be fewer of these names to work on in .com because of the move to other TLDs. I know Pat watches this very, very closely and George does as well so I'll invite them to comment.
Patrick S. Kane: This is Pat. So one of the types of models that Jim is referring to is the one that .tk runs. And so, .tk basically gives away domain registrations for a set of criteria which includes an ad revenue share. So we believe that there's some data that shows that people are using or going to that type of model and registering domains in .tk to drive pure registration without the initial investment that was required within a .com or a .net registration. Those domain names will be up for a while, they develop those names and then the .tk registry itself can take those names back if certain objectives aren't made with the registrar under the domain name, and therefore, continues to be a registration that is run by the registry operator itself.
George E. Kilguss: And only thing I would add, Gregg, is that if you look back historically, we do have a little bit of seasonality in the third quarter. Typically, Q1 and Q2 are always a little heavier from a gross registration perspective than Q3 and Q4 are. This particular year in 2012, we actually had an extraordinary strong Q1 and Q2 and so while numerically, decline looks a little steeper in Q3, Q3 this year is falling relatively on top of last year's Q3 gross adds from that perspective.
Operator: And we'll go next to Ed Maguire with CLSA.
Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division: I was wondering if you could just comment on the upside to the operating margin. Were there any unusual factors that led you to see incremental cost savings?
George E. Kilguss: So Ed, this is George Kilguss. So in the quarter in general, our total operating costs stayed relatively level with last quarter. We had some movements in the pieces, we saw general and administrative expenses increase by about $3.9 million related to some of the legal costs we had with the DOC and the new gTLD program. And they were offset by some lower spend in our sales and marketing. As you may have known, we had a transition in our leadership and our marketing area, and so we had some underspend in that area, at least in the third quarter. But we at least managed those costs and they offset one another in the quarter. So we, again, look for efficiencies but for example, in the fourth quarter, which we talked about, we will have a change in the ICANN registration fees. Those will go on a more variable basis, instead of a fixed basis. So they'll go up to about $0.25 per name. So starting December 1, we'll see the fees paid to ICANN increase in cost of about $750,000 a month. So costs do vary, but we're doing our best to try to offset those increased costs with efficiencies from the long tail of the restructuring.
D. James Bidzos: If I can just add to that, I agree entirely with what George said, I just feel that I should add the caveat, of course, as you know, we've just come off the restructuring, we've optimized, we've run the business much more efficiently, but I'm sure a lot of you have seen in the news recently, the number of DDoS attacks against financial institutions. Some of them sustained, some of them still continuing today, more sophisticated, larger in scale. I would just say that given the nature and growth of these attacks, obviously, we don't budget for the kinds of things that we might need to do to adapt as some of these attacks grow but it is a fact that you're seeing playing out in today's headlines every day, the kind of attacks against infrastructure, against targets for political or other reasons by nation states, at least, it's alleged in some cases. So the caveat is while we run the business very efficiently, events could of course, always dictate that we do need to make capital investments in order to stay ahead of the curve. That's how we got to where we are today with the uptime record that we have. Without getting into the process that we're in with DOC and DOJ, the question earlier about what sort of VeriSign's position is. I mean, I would just simply point out that VeriSign has an unparalleled record of performance in the operational availability of .com and .net and our focus is there and that's our first job and that's the primary requirement of the ICANN contract in terms of the SLAs and that's the first of our 4-part strategy framework, so we do focus there a lot. I think VeriSign's story sort of speaks for itself. We've supported an infrastructure that has allowed e-commerce to flourish and numerous billions of dollars of economic activity sit and rely on the infrastructure and I think it just simply speaks for itself that VeriSign is the secure and stable provider of that infrastructure, that's job 1 and whatever it takes to maintain that, we will.
Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division: Great. And just any updates on some of the contracts you have for granting of new generic TLDs? I know you'd signed a number of the contracts before the bidding process went out and I'm just wondering if there had been any update to some of the arrangements you've had with your contacted parties?
D. James Bidzos: Let me just clarify. Are you talking about the applications we've made directly for the IDNs, the International...
Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division: No, the arrangements to provide back-end services?
D. James Bidzos: Oh, okay. For other brands who might want VeriSign to be their back-end service provider?
Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division: Yes, precisely.
D. James Bidzos: Pat, go ahead, please.
Patrick S. Kane: This is Pat. So Gregg, there's been no change in that from the standpoint of where we are. The application window closed so we're not able to take on additional partners at this time. But basically, that process is moving ahead as ICANN has planned. And basically, they've been able to keep a better target on their current timeline such that we believe that, that will transpire in fall of 2013.
Operator: [Operator Instructions] We'll go next to Fred Zeigel with Topeka Capital Markets.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Pat, to you, a couple of questions. First, on the international side, has there been a .com to ccTLD displacement as far as you can tell? Second, ICANN apparently, I guess, at their last meeting, approved or didn't stand in the way of a cross-ownership of registries and registrars then -- you're probably a bit hamstrung given your market share but what are your thoughts on that?
Patrick S. Kane: Well, let me address the first one. So you're asking are people choosing .com or choosing the local ccTLD over .com at this point in time?
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Correct.
Patrick S. Kane: So there are some markets that certainly, some of the more established markets, that have a preference for the local ccTLD over .com. And if you take a look at Germany very specifically, DENIC, who runs .de, you've got a country with 83 million people and they've got 14 million or 15 million domain names registered in .de so there's a preference in markets like that. But there's still strong preference for .com in India, there's preference for .com in China as well as other nations that are growing. So it's a market by market but we don't see any major changes recently that we've been -- they've been fairly consistent for the last couple of years. And then the second one, where you're talking about where ICANN has announced that if registry operators want to move to the new contract, that vertical integration could be considered, correct?
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Correct.
Patrick S. Kane: So I think that's across the board that they've done that, I think that .com would of course, always be -- it's different. It will always be looked at differently and so I wouldn't suggest that, that's something that we would do if it was thrown out there but .com is always going to be looked at differently by Commerce and Justice, as Jim has talked about previously. So while it's available, I don't know that it's exactly available to .com.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Given your market share?
D. James Bidzos: I think it's hard to say. I mean that's an assessment that would be made on a case-by-case basis. But .com is different so it's really hard to say. We don't -- we haven't done any planning that would have us in a vertical integration scenario as an operating business. Our focus is really, security and stability first, and quite frankly, I think it might be awkward to actually act as a registrar ourselves. It's a very different business and as you may know, we were at one point, many years ago, in that business. When we first bought Network Solutions in June of 2000, it was of course, both a registry and a registrar and it wasn't until a few years later, I believe it was around 2003 when we sold off the retail part of that business and it was very different. So given the new sort of single focus that VeriSign is in right now, as a registry services provider, whose first mission is availability, when you consider for example, over the last 6 years, through a major restructuring, through the 2007, 2008, 2009 economic downturn, we've been able to maintain a record of security and stability. I'm sure a lot of you saw that just over the last few weeks, there were some major outages. I won't mention the names, but a large registrar and a large web services company just over the last few weeks had extended outages. If that happened to .com, I think there'd be a lot more tension, there'd be a lot more people affected, there'd be a lot more economic loss. So I sort of like us as a model focused on doing one thing, which is providing absolutely secure and stable infrastructure because there is just too much that depends on it here.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: A question for George. We're at 56.4% non-GAAP operating margins in Q3 and you're suggesting or guiding to 55% plus in Q4, are we looking at higher ICANN expenses related to the $3.9 million from Q3?
George E. Kilguss: We absolutely will see increased expenses from ICANN in Q4. Having said that, we'll only have about 1 month of that. We still believe we'll be in excess of 55%, but we do have rising cost and we continue to look for opportunities to offset those rising costs as we move forward.
D. James Bidzos: And don't forget, in the ICANN agreement, in addition to the increased ICANN fees under the new .com registry agreement negotiated with ICANN, there are also far more stringent SLAs so we need to pay attention to that as well. So kind of paying higher fees and asked to do a little bit more, but that's what VeriSign does at .com.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: This is under .com?
George E. Kilguss: Correct. This is under .com.
D. James Bidzos: Yes, this is under the .com registry agreement.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Under which -- under the new agreement that hasn't been approved?
D. James Bidzos: Well, under the agreement that was negotiated and approved with ICANN. It contains different ICANN fees that we pay, which George talked about. And it also includes more stringent SLAs. We are actually going to be -- we are already operating, obviously, as you know, given our uptime record. We are already operating beyond any published SLAs but the contract itself specifies the service levels that we have to provide and those have actually been made more stringent for VeriSign in the new agreement. So there's some good benefits for ICANN in that agreement.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Those expenses to you would not begin until the 1st of December? Am I understanding you right or no?
George E. Kilguss: It would commence with the renewal of the agreement, which ...
D. James Bidzos: Once the new agreement takes over, we are paying the higher ICANN fees.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Last question quickly to Jim. NIA, any update on what you're doing there?
D. James Bidzos: We're doing what we started saying, I believe, 2 or 3 quarters ago, that we were going to optimize NIA, we were going to structure it better for better quality of revenue. That originally when it was put together, it was focused on bookings growth. We've stopped focusing on bookings. We now focus on revenue and we're aligning expense with revenue and I'll just say that the team has really been working hard there and we've made really good progress and we're pleased with the direction that, that's moving. So it's more of the same, but we're very happy with the progress that we're making. I think that was the right thing for us to do and it's going well. I think that probably, it's helping us contribute to our efficient business, improving margins, increased revenue. It's not obviously, material or large enough that we call it out separately but it's moving in the right direction and we're very pleased with it.
Frederick D. Ziegel - Topeka Capital Markets Inc., Research Division: Do we get to 10% of revenues in 2013 at some point?
D. James Bidzos: Well, I don't want to give any guidance here, but I don't think that's -- I don't think you should expect that to happen. I don't believe it will be material in 2013, let me put it that way.
Operator: We will take our last question from Jaimin Soni with Bank of America Merrill Lynch.
Jaimin Soni - BofA Merrill Lynch, Research Division: Just a couple of quick ones. First, if you look at the .net domain name adds this quarter, is it possible to quantify just how much of the delta versus guidance came from the search engine changes versus macro? And then, looking at guidance for next quarter, at the midpoint, it's a pretty big downtick versus what we've seen in prior fourth quarters in the past 3, 4 years. I'm just wondering is it more macro there or also a similar impact from search engine changes?
D. James Bidzos: This is Jim, let me just make a general comment then I'll ask Pat to give you a little bit more color. Yes, there were some macroeconomic headwinds, as we said earlier, particularly in Europe. Certainly, the search engine algorithm changes are a very large factor. Every year and every quarter that the zone grows, we see the law of large numbers, as we refer to it, come into play as well. Clearly, percentage growth will slow as the size of the zone gets larger. So there are a number of different factors. We have some analytics but we don't break that out separately but perhaps Pat can give you a little bit of color.
Patrick S. Kane: This is Pat. When you take a look at the renewal rate, that's largely -- where we've seen the shortfalls, really it's largely coming from monetization-type customers. I mean, that's individuals with large portfolios of domains, making pennies off of hundreds of thousands of domains, taking a look at what makes sense for their portfolio. So I would attribute the renewal rate more towards monetization than the macroeconomic trends right now although there's some in there. When you take a look at the new units, things that we have coming out of Europe right now, we're seeing registrars position domain names in the purchase flow that benefit local currency. So they're paying -- if it's a euro-based country, they're taking euro-based registrations and then we, of course, take all of our registrations in U.S. dollars. So there's some of that, that we see as part of the slight shortfall that we have in new units.
Operator: I would now like to turn the call over to Mr. David Atchley for concluding remarks.
David Atchley: Thank you. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation and continued support. This concludes our call.
Operator: This concludes today's call. Have a wonderful day.